Operator: Good morning. My name is Lindsay, and I will be your conference operator today. At this time, I would like to welcome everyone to the BioScrip Second Quarter Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Ms. Lisa Wilson, Investor Relations for BioScrip, you may begin your conference.
Lisa M. Wilson - President, In-Site Communications, Inc.: Good morning and thank you for joining us today. By now, you should have received a copy of our press release issued this morning. If you've not received it, you may access it through the Investor Relations section of our website at bioscrip.com. Rick Smith, President and Chief Executive Officer; and Jeff Kreger, Senior Vice President, Chief Financial Officer and Treasurer, will host this morning's call. The call may also be accessed through our website at bioscrip.com. A replay will be available shortly after the call, and will remain available for a period of two weeks. Interested parties can access the replay by dialing 855-859-2056 in the U.S., and 404-537-3406 internationally, and entering access code 51653511. An audio webcast will also be available for 30 days following the call in the Investor Relations section of the BioScrip website at bioscrip.com. Before we get started, I would like to remind everyone that many of our comments may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Such forward-looking statements are based upon current expectations, and there can be no assurance that the results contemplated in these statements will be realized. Please refer to our press release and our reports filed with the SEC where you will find factors that could cause actual results to differ materially from these forward-looking statements. These forward-looking statements are based on information available to BioScrip today, and the company assumes no obligation to update these statements if circumstances change. During this presentation, we will refer to adjusted EBITDA and non-GAAP financial measure, reconciliation to the most comparable GAAP financial measure is contained in our press release issued this morning, which can be obtained through the Investor Relations section of our website at bioscrip.com. And now, I would like to turn the call over to Rick Smith. Rick?
Richard M. Smith - President, Chief Executive Officer & Director: Thank you. Good morning, everyone, and thank you for joining us. I'm very pleased with our operating results for the second quarter on both a year-over-year and sequential basis. During the quarter, we delivered our strongest adjusted EBITDA results since 2013, and our solid second quarter demonstrates the significant progress we have made since beginning to implement our financial improvement plan one year ago. We also have made excellent progress with our programs to increase operating workflow efficiency, increase cash collection, reduce bad debt, and overhead costs, while we move our focus to the core therapies that we are targeting as part of our strategy to shift our revenue mix and strengthen our position as a pure-play infusion services provider. During the quarter, we announced the acquisition of Home Solutions. Now that we are a leaner, more focused company, we believe this is the right time for such a transformative transaction. We expect that the addition of Home Solutions will accelerate our growth by adding their core revenues to our platform. The acquisition is expected to generate substantial synergies of between $14 million to $17 million in cost savings within approximately 12 months to 18 months following the closing. The transaction is also expected to be accretive to BioScrip stockholders and to drive significant benefits for all stakeholders. Furthermore, we expect the acquisition to strengthen the company's balance sheet and its leverage profile, thereby improving BioScrip's strategic flexibility and competitive positioning and realigning the company as a growth platform in the attractive post-acute care segment. In addition, as Jeff will discuss later on the call, we are updating our guidance to reflect the strength of Home Solutions as part of BioScrip and the synergies we expect to achieve through the end of the year. We expect the Home Solutions acquisition to be completed in September 2016. BioScrip expects to hold a special meeting of stockholders to approve the transaction in September 2016. In addition, we plan to seek stockholders' approval to amend the company's Certificate of Incorporation to permit an increase in the amount of common stock the company is authorized to issue. We expect to mail the definitive materials related to the meeting in the near future. Our integration planning is well underway. We expect a seamless transition of Home Solutions into BioScrip and have great confidence in our ability to deliver on our synergy and cash flow target. In addition, as you know, following the close of the transaction, Dan Greenleaf, Chairman and CEO of Home Solutions will become Chief Executive Officer of BioScrip and join the company's Board of Directors, at which time, I will become Vice Chairman of the Board of Directors. Many of you had the opportunity to meet Dan out on the road. And I hope you share my enthusiasm for the experience and the energy he will bring to BioScrip as we enter the next chapter of the company's story. Before concluding my remarks, I want to briefly update you on the progress we are making in transitioning non-core therapies to alliance partners. We mentioned on the last call, as of March 31, 2016, we had transitioned $41 million of non-core business. As of today, we have transitioned an incremental $88 million of non-core therapy business out of our portfolio and over to alliance partners. Another $16 million in non-core revenue is scheduled to transition by mid-September. These steps we have taken since the last call bring our total amount of transition at non-core business to $145 million since we announced this initiative in Q3 of 2015. This area of the improvement plan we had previously stated had been delayed. Given our leaner operating structure, we had to dedicate our resources to the Home Solutions transaction and planning for the integration. As a result, we now anticipate that an additional $30 million to $50 million of non-core therapies will be transitioned out during 2017 following completion of our integration of Home Solutions. I'd like to now turn the call over to Jeff, who will provide more detailed review of our financial results for the quarter and an update on our full year 2016 financial guidance. Jeff?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Thank you, Rick, and good morning, everyone. For the second quarter, revenue from continuing operations was $232.5 million, representing a decrease of $14.4 million, or 5.8%, from the year-ago same quarter. As we mentioned last year, we expected a sequential decline in revenue due to our planned shift in revenue mix to a greater percentage of core revenue business and less lower margin chronic business. This revenue mix shift is a key component in our overall strategic plan. For the quarter, we reported a net loss from continuing operations of $8.3 million, or $0.14 per diluted share as compared to a net loss of $244.9 million or $3.62 loss per diluted share in the year ago second quarter of 2015. Now remember, the year-ago 2015 second quarter included the pre-tax $238 million impact of the non-cash goodwill impairment charge. Gross profit for the quarter was $64.2 million, or 27.6% of revenues, representing a 130 basis point improvement over the year-ago 2015 quarter due to the planned shift in our revenue mix to a higher proportion of core business. Total consolidated adjusted EBITDA from continuing operations was $10.4 million for the quarter, representing a year-over-year increase of $14.7 million. Now, excluding corporate overhead costs, which totaled $8.9 million in the quarter, the Infusion Services adjusted EBITDA for the second quarter was $19.2 million, an increase of $12.8 million over the year-ago second quarter 2015. This year-over-year increase in adjusted EBITDA was a direct result of the continued operating improvement initiatives employed by the company to focus on core revenue strategy. The increased adjusted EBITDA was also favorably impacted by the reduced bad debt cost in the quarter, which in turn were directly attributable to the improved cash collections experience shown through our AR agings over the last several quarters. With stability now in our AR agings and our bad debt reserves, we now expect our bad debt costs over the last six months of 2016 to fall between 3.3% and 3.5% of revenue. Interest expense in the second quarter 2016 was $9.5 million, up $400,000 from $9.1 million in the year ago second quarter due to incrementally larger average interim borrowings outstanding on the line of credit on a comparative year-over-year basis. Our line of credit as of June 30, 2016 and as of today has been fully paid down to zero, with no outstanding borrowings on the line of credit. BioScrip has a solid liquidity position. As of June 30, 2016, the company had $121.8 million of liquidity, which consisted of $51.4 million of cash in bank and $70.4 million of undrawn capacity available on its revolving credit facility. Keep in mind, the company intends to use $67.5 million of its liquidity in September of 2016 to finance the previously announced acquisition of Home Solutions. Factoring in our acquisition of Home Solutions, our intended approach going forward will be to ensure we maintain adequate liquidity levels to appropriately support the business. Year-to-date through the second quarter of 2016, the company has paid $6.3 million in principal payments on our bank term debt. We expect to pay an additional $6.3 million in principal payments over the last six months of 2016. As such, our total deleveraging principal payments on bank term debt are expected to be over $12.5 million in 2016. As of June 30, 2016, the company is in full compliance with all of its bank covenants under the amended credit facility. The company's net Days Sales Outstanding, or DSO, was 39 days at June 30, 2016, which was four days lower than the prior year second quarter 2015 DSO of 43 days, and was the same as the first quarter 2016 DSO of 39 days. Turning to cash flow. Through the first six months of 2016, the company's cash flow from operations represent a net use of cash from operations totaling $15.7 million, which is significantly lower than the $44.2 million net use of cash during the same period last year. Please keep in mind the $15.7 million use of cash from operations during the first six months of 2016 includes the impact of over $6 million in cash used for restructuring and acquisition matters. Looking forward, BioScrip expects to produce positive cash flow from operations over the second half of 2016, after excluding the use of cash expected from integration and transaction costs associated with closing the Home Solutions acquisition. Overall, we have the financial flexibility for our current business needs and we have no near-term maturities on our long-term debt. In light of this and combined with our 2016 cash flow expectations, we believe we are well positioned to continue executing on our operational and financial strategies. Finally, as you saw in our press release this morning, we are updating our financial guidance for the full year 2016. Overall, we expect to achieve between $14 million and $17 million of annual cost synergies within 12 months to 18 months following the closing of Home Solutions. Our updated guidance includes the anticipated revenue and adjusted EBITDA contributions of Home Solutions through the end of the year, following the expected closing of the transaction in September 2016. We now expect to revenue for 2016 of between $940 million and $960 million, as compared to our previous expectation of $875 million to $900 million of revenue. Our updated guidance also includes a nominal amount of synergies, expected to be achieved from the transactions in 2016 following its close. We now expected the adjusted EBITDA of between $45 million and $50 million for the full year 2016 as compared to our previous guidance of $50 million to $60 million. This reduced adjusted EBITDA forecast is due to a delay in the timing of our achieving approximately $7 million of additional cost savings related to our financial improvement plan. Now, I want to be very clear. One important takeaway related to our adjusted EBITDA guidance is, by the end of this 2016 year and based on annualization of our projected fourth quarter results, we expect to deliver annual run rate adjusted EBITDA in the mid $60 million range. which reflects only a small portion of the anticipated $14 million to $17 million of cost saving synergies. Please further note, the updated guidance range also reflects the impact of temporary timing delays as a result of certain previously announced operating cost reductions and revenue mix improvement initiatives. These timing delays are principally to refocusing our resources on transaction diligence and planning for the successful integration of Home Solutions upon completion of the transaction. That concludes our prepared remarks. Operator, we will now open up the call for questions.
Operator: Thank you. Our first question comes from the line of Brian Tanquilut with Jefferies. Your line is now open.
Brian Gil Tanquilut - Jefferies LLC: Hey. Good morning, guys. Rick, just a question on the shift to the core or increasing the percentage of core, and you outlined that we have more opportunities there. As I look at the gross margin line at 27.6%, I mean, how much more opportunity is there and how much flow-through do you think we've seen based on what you've shifted out, and where do you envision that going over the next 12 months to 18 months?
Richard M. Smith - President, Chief Executive Officer & Director: I'll just take the first half and then Jeff will finish the second half. I think we were delayed by the work related to Home Solutions as we had mentioned. And so, the amounts that we expected to move out by June 30 didn't happen really for the most part until August, and then the other piece will happen in September. And so, I think we've seen minimal impact on our gross margin. We've seen growth sequentially in core therapies, so that has actually helped us sequentially, as our revenues come down. And I think there's more to be seen, as we move the amounts that have been moved in Q3 out and then with the adding of the Home Solutions mix, which as you know is high percentage of core therapies. And so we believe Q4 could be very positive in terms of gross margin impact. Jeff?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah. Thanks, Rick. Good morning, Brian. Good to speak to you. Yeah, as Rick commented on, I mean our gross margin in the quarter up 130 basis points year-over-year. So, that's certainly in the right direction and a strong improvement. I think overall, we're expecting to drive that gross margin percentage to 29% or even better approaching 30%, sometime in the next 12 months, 15 months. Not things that will happen necessarily by Q4, but certainly over the course of 2017 as we work on the cores, as Rick talked about, on some of our other operating costs embedded in there, which include our nursing costs and whatnot.
Brian Gil Tanquilut - Jefferies LLC: Got it. And then, Jeff, on the corporate overhead line, brought it down sequentially. So, how much more do you think you can squeeze out of corporate overhead ex, obviously, Home Solutions kicking in?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Sure. So it's 3.8% this quarter. I think we're going to try to drive that much closer to, say, 3.6% as we march forward. Again, it will be leveraging as we grow the top line as opposed to additional cuts. I think we're about where we need to be in terms of total costs at corporate. Now, it's going to be about leveraging the existing infrastructure as we continue to increase the size of the business.
Brian Gil Tanquilut - Jefferies LLC: Okay. And then as I think about the guidance adjustment, parsing out – you raised the revenue range, parsing out Home Solutions versus other drivers there, I mean, is there – because I'm just trying to connect the guidance adjusted at the top line versus the EBITDA line and where Home Solutions fits in, and how much of that is just growth within your existing business. If you don't mind just giving us a little more color on the moving parts in guidance.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah, sure. So, look, I guess, I'll say this. I mean, absolutely, Home Solutions will be accretive to BioScrip's earnings day one, without question. As everyone saw on our June 20 registration statement, we were able to disclose the 2015 results for Home Solutions, which were $109 million of revenues, $3.6 million of adjusted EBITDA for that 2015 period. As we've reviewed their interim financials and we're monitoring their business very closely, Home Solutions is on pace to outperform both the top line and the adjusted EBITDA that was disclosed in the registration statement, but that's all we're at liberty to share at this point.
Brian Gil Tanquilut - Jefferies LLC: Got it. Last question for me, bad debt expense, Jeff, what was the one-timer in Q2?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: So, really, Q1 and Q2 are both similar as we dropped off the periods in our 18-month look-back model that stemmed back into 2014. The collection experiences has improved dramatically. That was a big part of our financial improvement initiative. You've seen the DSOs come down. And so, those older periods that were tainted, if you will, or just had terrible collection experience involved are now out of the calculation. So, the quarter by itself, the 1.8% we recorded this quarter, that's not necessarily sustainable, but you have to look at it in its totality. As I guided to, we think the percentage as it currently stands, with our DSOs around 39-ish days, 40-ish days will probably fall in around 3.3% to maybe as high as 3.5%, somewhere in that range, as we play out the rest of this year.
Brian Gil Tanquilut - Jefferies LLC: All right. Got it. Thanks, guys.
Richard M. Smith - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Bill Bonello with Craig-Hallum. Your line is now open.
William Bishop Bonello - Craig-Hallum Capital Group LLC: Hi. Good morning, guys. Looks like a really nice quarter. Couple of questions, just to follow up. First of all, in terms of the expectation about being at the mid-$60 millions run rate exiting the year, normally, there's a good deal of seasonality to this business, Q4 being exceptionally the strongest quarter. So just trying to get a feel for whether you think you're entering 2016 or 2017 on pace for the mid-$60 millions or better, or if it's simply that if we took Q4 divided by four – or times four, we would be in the mid-$60 millions.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: So, good morning, Bill. It's Jeff. It's both of what you just said. For example – and certainly there is seasonality. We expect the second half of 2016 to be stronger than the first half. We'll see that recur. That will be a continued trend in the future as well. However, that being said, we talked about the delays on some of our timing of transitioning the non-core out. The delays in some of our operating cost initiatives that we think we'll able to pick up again in 2017. So the combination of those will sort of help offset, if you will, that seasonality that you're referring to. We were fairly confident with the mid-$60 millions range kind of leaving 2016. As we look at 2017 right now, and we're not giving guidance for 2017, but we think that's the range that we'll start with, as we begin to explore guidance when we provide that at year end.
William Bishop Bonello - Craig-Hallum Capital Group LLC: Okay, okay. And again, just to be sure that's the mid-$60 millions, that's without much synergy having yet been achieved?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah. It's very – I mentioned, a small portion and I used that word small intentionally. It's just a few million dollars on an annualized what we achieved in the fourth quarter of 2016 basis, which within the quarter is negligible, but when you annualize that, it's maybe a little bit more than negligible, but it's still very small. So, lot of upside. And I got to tell you, Bill, Rick and I and Dan and our other teammates, we're very, very excited about Home Solutions. We've got a lot of energy right now throughout the company on both sides of the equation, Home Solutions and certainly BioScrip, as we plan for a successful integration. I think we're poised for some real good success here.
William Bishop Bonello - Craig-Hallum Capital Group LLC: Okay. That's great. And then, it looks like – if I'm following my math right, it looks like the total amount of chronic business or low margin business that you expect to transfer out over time might be down a little bit. I added things up to somewhere in the order of $175 million to $195 million by the time you're done, I think your initial target was $239 million or so, but I might have miscounted. Just curious, if you're expecting less total shift than you had and sort of what would have changed, if that's right.
Richard M. Smith - President, Chief Executive Officer & Director: Hi, Bill, it's Rick. I think on the last call, we had mentioned that while the original plan was $239 million, some of the timing delays, in terms of transition is dependent upon third-parties, our alliance partners. And so, we estimated at that call, I believe that $175 million was the range that we thought we could confidently achieved. We have achieved $145 million since we began the initiative, and a lot of that happened just in this quarter itself. But we do expect that there's another $30 million to $50 million, as I mentioned in my prepared remarks, that we can get in 2017. The full $239 million, it is a moving target but some of that potential, we believe, we're going to be targeting a lower amount as of right now.
William Bishop Bonello - Craig-Hallum Capital Group LLC: Okay. That's helpful. And then, the final thing was just on – any thoughts on the cash burn in the quarter? I mean excluding the acquisition and restructuring spend, I might have expected to see a little bit less of a burn, sort of given where we were at last quarter. Was there anything at all unusual besides that spend in the cash burn, Jeff?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: No, no, there really wasn't, Bill. I mean, I think the differential that we're missing to get back to either neutral or slightly positive is just slightly better operating improvement. And I will kind of point out, you can see in our cash flow statement, our prepaid and other current assets was a use of cash, which that's just sort of the annual corporate insurances being reset. We have to pay the premiums. We're on the premium payment plan, a lot of which is upfront, and then it's amortized off during the course of the year to the P&L. So, that's within the quarter, but I'm not going to sort of necessarily call that. I mean, it really is about operations and just a little more strength dropping through the P&L, EBITDA, if you will, would have gotten us back to that breakeven EBITDA.
William Bishop Bonello - Craig-Hallum Capital Group LLC: Okay, great. Thanks a lot.
Operator: Our next question comes from the line of Brian Tanquilut with Jefferies. Your line is now open. Brian Tanquilut, your line is open. And our next question comes from the line of Mike Petusky with Barrington Research. Your line is now open.
Michael Petusky - Barrington Research Associates, Inc.: All right, thanks. How much of the $88 million that was transferred, the low margin stuff, how much of that was transferred after the second quarter ended?
Richard M. Smith - President, Chief Executive Officer & Director: Based on the original, Mike, $28 million was at the end of May was a tail into June, and then the balance of $60 million was in this month.
Michael Petusky - Barrington Research Associates, Inc.: In August?
Richard M. Smith - President, Chief Executive Officer & Director: In August.
Michael Petusky - Barrington Research Associates, Inc.: Okay, all right. And then I guess, Jeff, so I just want to – and maybe somewhere in the answer earlier on the cash flows, I missed this. But when do you guys actually expect to be kind of delivering up free cash flow – positive free cash flow. I mean is that a mid-2017 event or second half 2017, or when do you actually think you can be delivering true free cash going forward?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah. Good morning, Mike. Good question. So, I'll answer your question, let me sort of preface it with this. So, we expect the back half of 2016 to the last six months to be operating cash flow positive. However, I'm not convinced that we'll necessarily be free cash flow positive in that period, that would mean we have to generate more than probably $6 million to $7 million in order to fund the CapEx for that six-month period. Instead, I would expect to be free cash flow positive probably mid-2017 as the Home Solutions integration's sort of been fully put in and we're beginning to kind of reap the rewards from that combination.
Michael Petusky - Barrington Research Associates, Inc.: Okay. I guess, as you guys look at the Home Solutions integration, obviously, the last sizeable deal, there was considerable struggle, particularly in cash collections and some other things. I guess, can you guys just talk about your confidence level and some of the commentary made earlier about feeling like this will go well and why it will go well versus the last one, which I think, by all accounts, probably you would say, probably didn't go very well?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah, I know. Again, fair question, Mike. I got to tell you, we are very organized for this Home Solutions integration this time around. I wasn't necessarily present on the older one, but I do feel like many of our team members who were present, we learned some very valuable lessons from those prior acquisitions. So, we're already in the process of contacting our payers, getting the paperwork in order for credentialing and payer contract adjustments. We're anticipating relatively low disruption period in terms of cash flow interruption. We've modeled in, just internally, kind of a worst-case scenario, which still actually, by the way, put us in reasonably good light as we look out even six months post acquisition. However, that's not what we're trying to achieve of course. I mean, I'd like very much to have little to no disruption. Even the government payers, the government payers represent 15%, 18% of the Home Solutions portfolio, so the minority, and those are the ones that are possibly the most difficult in terms of transitioning with an asset-based acquisition. However, we've got some plans around that to also reduce that event, that timeline in terms of cash flow disruption. And for the commercial payers, which is the bulk of it, over 80% is our commercial, we foresee very little disruption, at least comparatively to the prior acquisitions the company had done.
Michael Petusky - Barrington Research Associates, Inc.: Okay. All right. All right. Very good. Thanks, guys.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: You got it.
Operator: Our next question comes from the line of Dana Hambly with Stephens. Your line is now open.
Dana Hambly - Stephens, Inc.: Thanks. Good morning. Jeff, on the $7 million I think the reduction in guidance was due to $7 million in cost synergies you're not getting from the financial improvement plan, is that correct?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Well, hey, good morning, Dana. The $7 million is really, I'm going to call it, a delay. We still think that's very achievable, but we've had to – kind of refocused all of our resources on making sure this integration is successful. To Mike's last question around not delaying our cash flows, I mean, we're 100% focused on that right now. So, a few of these other initiatives around operating improvements in a few areas, our nursing area and few others, we're going to kick those off again next year in 2017. So, I really think they're just delayed as opposed to missed.
Dana Hambly - Stephens, Inc.: Okay. And so, when you talk about run rate of $60 million-plus in EBITDA by the end of the year, that would include capturing that $7 million of synergies?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: No, it does not. That does not include that. That would be accretive to that number.
Dana Hambly - Stephens, Inc.: That could be incremental on top of that?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: It could be, you're right.
Dana Hambly - Stephens, Inc.: Okay. Okay. On leverage, post Home Solutions, would delevering still be a primary use of cash flow? And where would you target leverage over the next couple of years?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: No. Absolutely, it would be. I mean, our leverage as of today is just under – really it's like 10.8 times, 10.9 times total debt. Just to remind everyone on the call, our credit facility actually does a first lien leverage. So it effectively excludes the bonds, if you will. That's how the covenant works.
Dana Hambly - Stephens, Inc.: Right.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: But in terms of how the market perceives it and the way it should be perceived, certainly, is that 10.9 times leverage that we have now. Using that kind of mid-$60 millions range, post Home Solutions blending them in, and that's already below 7 times at that point, that's in the 6s. And as we begin to enjoy the benefits of our multiple quarters with Home Solutions as well as the $7 million delays we talked about, as we get up to a higher figure that's even below 6 times in terms leverage. And that's what we're working towards.
Dana Hambly - Stephens, Inc.: Okay. All right. And then, finally, Rick, any update on clinical success with the transitional care contracts? I know you talked about a bundled pilot last call. Any update there?
Richard M. Smith - President, Chief Executive Officer & Director: Yeah. With that, continue to move forward and creating awareness in number of our other markets. And then also we are starting to focus on the pull-through from those contracts I had mentioned. And so with that and the Home Solutions coming together, Home Solutions also approaches their household (33:48) relationships in the market that they are in, consistent with our approach. And another positive that we should point out, I don't think we've talked much about it, but given all of our overlapping markets, there's not one overlapping call point. So, all of our sales or liaisons, everything will stay intact to where the momentum really can begin to build post-closing of the transaction.
Dana Hambly - Stephens, Inc.: Okay, it's helpful. Thank you.
Richard M. Smith - President, Chief Executive Officer & Director: Yep.
Operator: There are no further questions at this time. I'll turn the call back over to Jeff Kreger and Rick Smith for closing comments.
Richard M. Smith - President, Chief Executive Officer & Director: This is Rick Smith. Thank you everyone for joining our call today. We look forward to providing you further updates on the Home Solutions transaction on our next call. Thank you.
Operator: Excuse me. We do have one person in queue for a question.
Richard M. Smith - President, Chief Executive Officer & Director: Okay, sure.
Operator: David MacDonald from SunTrust. Your line is open.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Excellent.
David S. MacDonald - SunTrust Robinson Humphrey, Inc.: Guys, thought I snuck in there. Guys, just a couple of quick questions. First on the cash flows. Jeff, can you spend a minute, I mean, DSOs look very good at this point. Any other areas of working capital what we should think about just over the next 12 months to 18 months? And is there anything in terms of working capital at Home Solutions that you think is an area for potential improvement and to squeeze more cash flow out of that?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Yeah, sure. Dave, thanks for getting in the queue. I'm glad we didn't miss you, we certainly didn't intend for that to occur. Yeah, in terms of cash flow, I guess the other area that we're focused on is our – in our inventories, our days inventory on hand. While it's certainly improved since year end and even middle of last year, I think it could be even lower. We're working on something maybe in the low – mid to upper 20s [days], as opposed to kind of where we currently reside. That's one area. Looking at accounts payable from the opposite side, you'll notice our AP is down pretty significantly from year end. We are capturing every single prompt pay discount that we're eligible to under our contracts. I wouldn't – that was a use of cash in the second quarter, a slight use of cash as we got that AP balance to even lower. I'm not expecting that to recur because we'll keep that constant. That's one area, as we bring Home Solutions on, I don't know that they're quite as current with their vendors as we are. And I think some of our relationships around medical supplies and pumps and whatnot, we have little better pricing, so we'll enjoy some benefit through the P&L, but from a cash standpoint, there will be a slight use of cash at first as we true that up. But really, I think it's holding DSOs where they are, 39 days, 40 days. It might creep up a little bit as we get rid some of the other chronic, which typically has – the other chronic business that we're jettisoning typically has lower DSOs than the traditional Infusion Services, which is higher. So, we might see the DSO creep a little bit a few days. But really, inventory is the one big other area where it could be positive working capital for us.
David S. MacDonald - SunTrust Robinson Humphrey, Inc.: And Jeff, on the core therapies, is kind of mid-40s-ish [days], historically, that's what I've kind of seen with these core-heavy books of business. Does that sound like it may be a little bit high? I mean you're at 39 days now, is mid-40s [days], once we transition everything off, kind of a decent target to think about?
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: In fact, that's exactly what we're targeting, that mid-40s [days] DSO, Dave, so you're right on.
David S. MacDonald - SunTrust Robinson Humphrey, Inc.: Okay. Couple of other questions, guys. Can you give us just a sense – I mean obviously, with some revenues moving out the door, little tough to tell exactly ballpark what the organic growth was in core? And then, one other question is Home Solutions has obviously done a great job in terms of revenue mix. Anything that you've learned so far in terms of best practices that you're trying to implement with your sales organization as you start to put the company together?
Richard M. Smith - President, Chief Executive Officer & Director: Well, I think – Dave, as I mentioned – this is Rick – our call points are similar relative to the clinical programs we offer, the programs we sell. Our approach to working with hospitals in terms of transitional care is similar. I think that one thing that we said positive that we identified was that there was minimal overlapping call points from our sales organizations on both sides. So, we believe that, that provides significant opportunity in terms of our two organizations coming together. And so I think that – we believe that, that can create significant momentum for us, post closing and into 2017.
David S. MacDonald - SunTrust Robinson Humphrey, Inc.: Rick, is there anything that they're doing differently in terms of compensation of their sales folks tied to therapy mix?
Richard M. Smith - President, Chief Executive Officer & Director: Well, it's consistent in terms of the target, relative to in terms of the commissionable therapies are the core therapies, it's consistent with theirs. I think if you recall, our foundation of a higher non-core mix was primarily a result of how we started in terms of our two primary pharmacies were chronic pharmacies, and each acquisition we built was related – had a more core therapy. And this acquisition of Home Solutions has 80% of core therapy. So, we expect, once we layer that onto our platform, our combined mix will significantly improve as a percentage of the total, and as we move – see the effect of the $145 million we've moved out plus incremental to that. So I think as we continue to see the progress, hopefully by Q4, we'll see the margin – reflected in the margin, the mix, and then again, a pure-play profile relative to the core therapies.
David S. MacDonald - SunTrust Robinson Humphrey, Inc.: Okay. Thanks very much, guys.
Richard M. Smith - President, Chief Executive Officer & Director: Yep.
Operator: And there are no further questions in queue at this time.
Richard M. Smith - President, Chief Executive Officer & Director: Great. Thank you, everyone.
Jeffrey M. Kreger - Chief Financial Officer, Treasurer & Senior VP: Thanks, everyone. Thanks, Lindsay.